Operator: Good afternoon, everyone. Thank you for participating in today's conference call to discuss Points International's financial results for the second quarter ended June 30, 2021. Delivering today's prepared remarks are Chief Executive Officer, Robert McLean; President, Christopher Barnard; and Chief Financial Officer, Erick Georgiou. Following their prepared remarks, the management team will open up the call for any questions. Before we go further, I would like to turn the call over to Cody Slach of Gateway Investor Relations, Points International's IR adviser, as he reads the company's safe harbor that provides important cautions regarding forward-looking statements. Cody, please go ahead.
Cody Slach: Thank you. Please be reminded that the remarks on this conference call may contain or refer to forward-looking statements within the meaning of Canadian and U.S. securities laws. Management may also make additional forward-looking statements in response to your questions. Although management believes these forward-looking statements are reasonable, such statements are not guarantees of future performance or action and are subject to important risks and uncertainties that are difficult to predict. Certain material assumptions are applied in making forward-looking statements and may not prove to be correct. Important factors that could cause actual results to differ materially and the assumptions used in making such statements were included in our second quarter financial results press release issued prior to this call as well as other documents filed with the Canadian and U.S. securities regulators. Except as required by law, the company does not undertake any obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. With that said, I'll turn the call over to Points' Chief Executive Officer, Rob MacLean. Rob?
Robert MacLean: Thanks, Cody, and good afternoon, everyone. During the second quarter, we continued to drive strong sequential and year-over-year growth, sustaining our momentum from Q1. Our top and bottom line performance outpaced our expectations representing our third consecutive quarter of sequential growth across our key financial metrics. On an operational level, our transaction metrics also improved relative to last quarter, with further acceleration across both marketing and promotional activity as well as baseline activity tied to near-term travel. This momentum reflects the benefits of an ongoing travel industry recovery, the execution of our growth strategy and our commitment to business development and flexible partnerships. As we continue to monitor the pace of recovery around the world, our team's resilience and hard work has positioned us well for the road ahead. From a macroeconomic standpoint, the recovery trends we began seeing at the end of the first quarter strengthened throughout the second quarter. As vaccination rates continue to rise, particularly in the U.S., both consumer demand for travel and travel frequency have accelerated. In June alone, the TSA recorded the highest level of travel throughput since the beginning of March 2020. The pace of global recovery remains fluid especially with spiking concerns and case counts surrounding the Delta variant. We are continuously monitoring changes in global health protocols, but remain cautiously optimistic about current trends in our business. Mid this landscape, many of our hotel and airline partners have seen improvements in their respective businesses. Our U.S. partners have experienced increased demand as they benefited from vaccination tailwinds. In fact, we generated record quarterly financial results with one of our U.S.-based partnerships in the second quarter. While these growth patterns vary across our base with many partners below pre-Covid levels, we're pleased to support their ongoing return to normal and to help address travelers' pent-up demand around the world. We have provided this support for our partners and advance the recovery of our own business through our continued execution on our three core growth drivers. We've deepened several existing relationships through new service launches like the subscription service we now offer with Southwest Airlines and the new Accelerate Anything service we launched during the pandemic. So far, we have four deployments of our Accelerate Anything service in market including our most recent launch with the Etihad Guest program in July. By offering loyalty customers flexible, innovative new options for earning and using their points and miles, we're both advancing the capabilities of our platform and providing our partners additional forms of support, ones that do not necessarily rely on frequent travel activity. As we explore and deploy these new services, we're also continuing to build new partnerships within and outside of the travel. Our most recently announced partnership with Built Rewards allows us to collaborate with an innovative program focusing on rewards for renters, bringing our extensive capabilities into a new and exciting territory. On the travel front, we have been able to support our long-running partnership with Frontier Airlines by expanding our partnership with Home Chef, which we first announced in Q2 2019. Announcements like these signal that both our financial performance and strategic trajectory are starting to regain their pre-COVID momentum. You will hear more about our recent launches from Christopher later in the call, and I'm extremely proud of our team's commitment and business development progress to date. Looking ahead, we continue to have a very healthy pipeline of business, and I expect discussions with both new and existing partners to remain very positive. Underscoring our new service and partnership launches is our third growth driver, our work to leverage our growing automated marketing capabilities to further enhance and expand the services we have in market. As we announced last quarter, we are increasingly adopting a platform-focused approach and are working to optimize our offerings accordingly. This has enabled us to transform existing capabilities into more flexible options, like our Accelerate Anything service and introduce new capabilities altogether, such as our subscription service. The continued enhancement of our services directly translates into more seamless, adaptable and broad range of options for our partners and their members. Loyalty programs scale and steady source of value have made them an essential resource for customers and operators throughout the pandemic, and these features have made them an equally steady pillar for industry-wide recovery. On a financial level, they've served as an important source of liquidity for challenge to airlines and hotels. On an operational level, they allowed active loyalty customers to continue earning points and miles through a growing range of ways preparing customers for today's accelerating return to travel. Now more than ever, we are confident in our ability to enhance loyalty programs, inherent value and flexibility. Our focus on adapting our own service suite and developing our pipeline supports our partners and strengthens our runway for future growth. The solid financial and operational foundation we've built has allowed us to definitely navigate some significant challenges throughout our industry over the past year. Coupled with our resilient growth strategy, we remain well positioned for the second half of 2021. I will now hand it over to Erick to review our financial performance for the second quarter, and then Christopher will provide some additional highlights and perspective on our partner activity. Erick?
Erick Georgiou: Thank you, Rob, and thanks for joining, everyone. Unless noted otherwise, all figures on today's call are in U.S. dollars and presented in accordance with IFRS. As Rob mentioned, reopening tailwinds have continued to benefit our operations with Q2 representing our third consecutive quarter of sequential growth across our core financial metrics. We generated revenue of $103 million in the second quarter of 2021 compared to $40.9 million in the year ago quarter, an increase of 152% on a year-over-year basis. For context, our last quarter with over $100 million in revenue was the fourth quarter of 2019. More notably, revenue in the second quarter increased 58% sequentially from the first quarter of 2021. Gross profit was $12.3 million in the second quarter of '21, up 76% or $5.3 million from the year ago quarter due to our continued recovery from COVID-19-related impacts. On a sequential basis, gross profit increased 37% from $9 million in Q1 '21. We remain highly encouraged by the continued positive momentum we have generated over the past several quarters. Consistent with what we started seeing in the back half of Q1, our Q2 top line results benefited from continued improvements in both our marketing and promotional performance, which generated the bulk of our activity throughout COVID-19 and also in our traditional baseline activity, which is more closely oriented towards short-term travel. This sustained improvement in our transaction metrics was generally widespread across our partner base with renewed strength among our U.S. carrier and hotel partners. As we have gained more confidence in our top line and underlying transaction metrics, we believe we are now on a solid growth trajectory. Accordingly, we have started easing some of the spending restrictions that we put in place at the outset of the pandemic to strengthen our core growth drivers. Operating expenses in the second quarter of 2021 were $11.6 million, an increase from $10.6 million in the year ago quarter and a $1.4 million increase over $10.2 million in the first quarter of 2021. The increase over Q1 was primarily driven by the expected decrease in funding we received from wage subsidies. The aforementioned easing of some spending restrictions we put in place over one year ago and to a lesser extent, the impacts of foreign exchange headwinds on the Canadian dollar. Share-based compensation expenses increased in the second quarter and are expected to gradually rise and normalize over the coming quarters, in line with our historical trending. From a wage subsidy perspective, we recognized approximately $650,000 as an offset to operating expenses, representing both a sequential decrease of $600,000 and a year-over-year decline of $1.6 million relative to the prior year quarter. While the Canada emergency wage subsidy program has now been extended to September, we believe that Q2 was the final quarter for our participation. And at this time, we do not anticipate any further subsidies. We continue to monitor expenses in line with our top line performance and also continue to realize cost savings as a result of decreased travel and other expenses that we would have typically incurred prior to the COVID-19 pandemic. One final note on the expense side. Last quarter, we reclassified our operating expenses on our income statement into a functional view. We made this change to more accurately reflect how we view our business internally and to more closely align with other tech-enabled platform companies. As a supplement to our standard financial disclosure, our earnings release issued today contains the comparative quarters in 2020 in this reclassified format. Moving to the bottom line. Adjusted EBITDA for the second quarter of 2021 came in at $3.4 million up more than 10x from approximately $300,000 in the year ago quarter and up significantly compared to $1.2 million in Q1 '21. The increase was largely driven by the aforementioned increases in our gross profit. Turning to our balance sheet. Our total funds available were approximately $95 million at the end of Q2, representing a significant increase from approximately $79 million at the end of 2020, which included $15 million of borrowings. The increase was reflective of both the proceeds from our bought deal financing in the first quarter of 2021 and higher overall sales activity across the platform at the end of the second quarter, partially offset by the full repayment of $15 million of borrowings on our credit facility during the first quarter. As we continue into the second half of 2021, we remain comfortable with our liquidity position and are well capitalized for the road ahead. Lastly, we have decided to renew our share buyback program in September. While we are currently not active in the market and do not intend to be in the near term, the renewal positions us to initiate activity in an opportunistic fashion as part of our overall capital allocation program. In summary, continued sequential and year-over-year improvements across our core financial metrics as well as our balance sheet strength are currently position us well to accelerate our growth through the second half of this year. We remain closely attuned to the varying pace of recovery across our geographies and partner case. But the current trends give us optimism a better industry's progress and further confidence in our strategy and financial foundation. With that, I'll turn it over to Christopher.
Christopher Barnard: Thanks, Erick. Throughout Q2, we continue to grow the depth and breadth of our services portfolio. Our recent deployments highlight how we are executing on our three core growth drivers. We continue to aggressively build our pipeline of new loyalty program partners worldwide, and we expect to continue to announce and launch new relationships in the second half of the year. We continue to deepen current partnerships by launching net new services with several of all our recent launches, expanding the flexibility of our overall platform and developing our presence in key regions to introducing our services within new types of loyalty programs. And as Rob mentioned earlier, our efforts to advance and expand our platform's capabilities continue to be focused on increased automation and data analytics capabilities that will improve our end market performance. We see this as a key driver in assisting our partners in driving incremental economics as they continue to look forward to a sustained return to pre-Covid activity level. From a regional growth perspective, we opened an office in Singapore in 2019 as a means to strengthen our foothold and partner opportunities in the APAC region. As global recovery trends continue, we're slowly but surely returning to these pre-pandemic regional expansion initiatives and looking to build additional APAC relationships. In fact, we are pleased to have recently signed a long-term and comprehensive partnership with a leading APAC region flag carrier that will see us launching a number of services in the coming months. We're also in the final stages of additional business in the region and look forward to highlighting this progress with pending announcements as a services launch. Lately, after opening our offices in Dubai in 2019, we've also made substantial progress with our regional expansion efforts in the Middle East. We launched our Accelerate Anything service with the Qatar Airways' Privilege Club program in the second quarter and more recently with the Etihad Guest program in July, adding to our Q1 deployment with the Emirates Skywards program. These launches not only deepen our footprint in the region, but also demonstrates strong market traction with one of our newer adaptable services that extends the program's relevant beyond tier travel, Accelerate Anything allows members to accelerate any of the prior loyalty earnings, including miles earned through credit card spending and similar activities and expands our acceleration options beyond those that rely on travel activity alone. This launch is one example of our ability to enhance current partnerships through not only adding new capabilities to their service suite, but also launching services that do not necessarily depend on frequent travel activity. Continuing with the Middle Eastern region, we also announced the launch of our hotel and car rewards appointment for Qatar Privilege Club program in the second quarter, enabling members to earn and redeem their miles on hotel bookings and car rental. Our ability to rapidly expand our Qatar services suite in the first year of our partnership demonstrates our deep commitment to developing new and existing relationships across geographies. Returning briefly to Emirates. We've recently linked two of the UAE flagship loyalty programs; Emirates Skywards program and the Mashreq Bank Salaam program through the Q2 deployment of our exchange services, which enables Mashreq customers to convert their Salaam points into Skywords mile. This capability gives Mashreq customers greater optionality on how they can use their rewards to earn credit and debit card purchases providing a strong start to our new relationship with Mashreq and an additional value to our existing relationship with Emirates. Turning to North America cross-sell activity. We announced our subscription services with Southwest Airlines Rapid Rewards in April, allowing members to build towards a set balance through monthly points deposits regardless of how frequently they travel. We deployed our transfer service with Radisson Hotels during Q2, adding another one of our core services to the top of capability that we added in Q4 of last year. We also facilitated a new partnership between Frontier Airlines, one of our longest-running Denver-based airline partners and Home Chef, one of the largest meal kit delivery services in the country. Through our platform Frontier Miles members can now earn up to 700 miles through their first 5 orders on Home Chef. As Rob mentioned earlier, we launched our partnership with Home Chef in mid-2019, making one of our newer non-travel engagements before the onset of the pandemic. Being able to continue to grow this partnership through supporting one of our legacy airline partners is a testament to the resilience of our growth and diversification strategy. Recently, we further diversified our vertical presence through our new partnership with Build Rewards. The rewards program allows renters to earn points on rent and build path towards homeownership. For our Exchange service, members can use the points they accumulate on their regular rent payments by seamlessly converting their Bilt Rewards into milder points of their preferred traveler hotel program. Travel operators from which they can choose include several of our larger partners, and we expect this selection to expand over time as additional loyalty programs are integrated. Working with this new type of loyalty program is an exciting opportunity for us, and we look forward to further supporting Bilt Rewards growth by leveraging our partnership network. And lastly, we saw more expansion of our exchange services across the platform. In July, we increased the number of exchange options with the Citi ThankYou Rewards program, initiating the first real-time exchange availability with the American Airlines Advantage program. And in August, we added Air Canada's Aeroplan Miles as an additional exchange option with our longest tenured financial service program Chase Ultimate Rewards. The recent deployments and new services we launched demonstrate that our teams continued business development and platform optimization progress in line with our core growth drivers. Within these, we're also returning some of the key acceleration initiatives we introduced before the pandemic. A growing suite of services we have deployed to date are strong developments in our expansion strategy for new regions. As we ramp our business development efforts, we are primed to continue to diversify our partnership base. In terms of partnerships and products themselves, we are directly growing our non-travel vertical presence through expanding pre-pandemic partnerships like Home Chef and using our growing capabilities to service new innovative programs like Bilt Rewards. Yet we are doing so in a way that benefits our existing travel partners as we support their ongoing return to pre-pandemic levels. As we collectively recover from the pandemic, our team's focus on flexibility and innovation is central to the value to provide our partner network, optimizing our platform and expanding our services positions us well for continued recovery. As we enter in the second half of 2021, we are emerging from the pandemic as a stronger and more efficient company. Our three growth drivers are proven and resilient. Our focus on developing new global partnerships, launching new services for current partners and continuously improving our services we have in market has allowed us to build a robust set of partnerships and opportunities for our recovery. Further, our strong balance sheet and prudent cost management allowed us to preserve value for our partners and our shareholders alike, giving us a strong foundation - strong financial foundation for a continued return to growth. I'm very proud of the team's diligent work to date and the important role that loyalty program will continue to play in the industry's recovery. We're advancing that role as we optimize our platform and to support the growth of both our business and our partner network. Operator, we can now open the call up for questions.
Operator: [Operator Instructions] Your first question is from the line of Drew McReynolds with RBC Capital Markets. Please proceed with your questions.
Drew McReynolds: Thanks very much and good afternoon everyone. Two questions for me and maybe a follow-up. Just on the gross margin in the quarter 12%, obviously there's some evolving mix in there, but just interested to unpack that a little bit. And if you have any kind of comment on how that could or should trend over the back half of the year that would be great. And then secondly, maybe specific for you, Erick, thanks for the OpEx granularity. That's great. I guess just the modeling question would be in terms of the OpEx in Q2, excluding the government subsidies. Is that more or less kind of a base we build upon as we get into the back half, adding a little bit more of kind of some of those cost restrictions that are inevitably going to be eased? Thank you.
Erick Georgiou: Yes. Thanks, Drew. So maybe starting on the expense side. So I would think of expenses going forward as likely growing sequentially quarter-to-quarter. We've been very careful, obviously, in how we monitor that and how we use those spending restrictions that we put in place at the onset of the pandemic. We kept resourcing relatively flat during COVID, which was important for us on the partner side. I think what you'll see us doing now is slowly turning on the tap, so to speak, in concert with top line growth. So I would kind of model that way. On the gross margin side, what I would say, I think mix is probably the right word for that. It's obviously always impacted by the mix of principal partners and agency partners. I would say impacting that, too, is just the level of campaign activity that we had in market in the second quarter. I think Rob mentioned we had one LP that had a record quarter. That was obviously driven by very substantial marketing activity that does tend to bring with it lower per unit economics. I wouldn't consider that a long-term trend for the business. We'll see how that plays out in Q3 and Q4.
Drew McReynolds: Okay. That's great. And one last follow-up for me. I don't know who to ask this, but so great to see there's a collegial improvement. And frankly, little bit of an eye-popping revenue number here in Q2. So great to see that. In terms of turning the glass upside down here, where do you see kind of the greatest kind of laggards or pockets of weakness, either by vertical or geography?
Robert MacLean: Drew, it's Rob. Yes, I think, clearly the U.S. has been the driver of the second quarter results, the U.S. market. And we've heard a lot about that with the airlines and hotels domestically has been very strong, still lots of room to grow really in all of the other jurisdictions. The European market is still pretty impacted and the airlines, in particular, have not had an opportunity to kind of get growth back the way the U.S. carriers have, at least in the domestic market. So I think there's really good signs in all of those regions for us, but a long way to go, which should contribute to our growth going forward.
Drew McReynolds: Okay, super. Thanks so much.
Operator: The next question comes from the line of Gary Prestopino with Barrington Research. Please proceed with your questions.
Gary Prestopino: Good afternoon everyone. Just a couple of questions here, just so I understand. Exchange availability programs, is that where these credit card companies allow you to use the miles you charge to exchange airlines tickets. Is that what an exchange availability is?
Christopher Barnard: Gary, its Chris. It is not for tickets, it's for actually the airline miles. So you can take your case ultimate rewards points and turn them into Emirate private miles or we just launched Citibank Thankyou points into American Airlines AAdvantage miles. That's what maybe I think…
Gary Prestopino: AAdvantage miles. Okay.
Christopher Barnard: So you're obviously the customers adding to their current mile balance and then redeeming for a flight with their larger balance of miles.
Gary Prestopino: Okay. Great. I just want to make sure I was clear on that. And then could you talk about how the pipeline build from Q1 to Q2? And then how has it continued to build here as you're halfway through the quarter?
Robert MacLean: Yes, Gary, it's Rob. I think as we've indicated, the pipeline of new business has been quite strong, really since the beginning of 2019 or 2020, and we're probably accelerated through COVID. We saw in the second quarter, I think, three new partners coming on the platform, and we've had expansion with 11 or so of our partners with a variety of either new products or expansion on existing products. I think that's very consistent with our growth drivers that you would have heard Christopher just speak about. So I think pipeline has progressed - continue to progress quite nicely. I think as we look forward, that trend is continuing. We're not seeing any abatement and demand for our products and services from the industry who - remember, are still looking to drive growth from their loyalty programs, and we're just well positioned to help them with that.
Christopher Barnard: Gary, I'll add to that. We're seeing the strength across different geographies as well. It's not limited to one. So while some of the transaction volumes to Rob's point earlier on the previous question, very around the world, we're seeing strong pipeline growth in all regions.
Gary Prestopino: Okay. And then any comments on what's going on with this Delta variant? I mean I was watching, I think, CNBC this morning or listening to it, and they said that some of these airlines are starting to experience cancellations. So I mean, is that - obviously, that gives you close for concern, I would assume, and it also would assume that maybe why you didn't put out any guidance considering you had such a great quarter this quarter?
Robert MacLean: Yes. Thanks, Gary, it's Rob. We're keeping an eye on it. Obviously, we've not seen any slowdown in our business or in our pipeline and demand from our partners or their members to this point. But I think we're like everybody else. We're certainly keeping an eye on that looking forward.
Gary Prestopino: Okay. Well, that's good to hear because I mean 99% of the time, the media sensationalizes things, and I just tried to ask the question in a way that you could answer it. And in terms of the Asia Pacific carrier that you signed up, I would assume that you have a disclosure issue there that you can't give us the name of that carrier?
Robert MacLean: Yes. And we'll typically try and coordinate the launch of the - sorry, the announcement of the new partner when we launched the product. So I think as was indicated, we signed the agreement. We're heavily into development of the products. And when we get a little bit closer to launching and making it available to them the suite of products to their members, we would typically anticipate announcing the brand at that time.
Gary Prestopino: Thank you so much.
Operator: [Operator Instructions] The next question comes from the line of Ed Woo with Ascendiant Capital. Please proceed with your questions.
Edward Woo: Yes. Congratulations on the quarter. My question is, was any of the promotions that you typically plan for the year pulled into the second quarter? Or do you think that because of the success that you had that you'll just be launching more promotions and programs in the back half of this year?
Robert MacLean: Yes. Ed, its Rob. Thanks for that. Q2 was very strong, as Erick indicated in his prepared remarks. Campaign activity was very strong, we saw some good results, baseline activity continues to improve. So that kind of activity that Erick has described as near-term travel driven. So all went very well. It wasn't a case of bringing kind of second half promos into Q2. It was really planned activity in Q2 that, for the most part, performed very, very well. We'll continue to see campaign activity through the second half of the year, really on a broad basis. I mean all of our partners as strong as Q2 was, we think there's significant upside and opportunity for our business and certainly all of our partners who are still working hard to see their revenue recover. So I fully expect to see robust marketing and merchandising plans in the second half of the year.
Edward Woo: Great. And then you mentioned that as revenue is coming back, investing back in the business and maybe spending a little bit more. Are you guys going to be making big investments back in the platform product as well as on the travel product?
Erick Georgiou: Yes, Ed its Erick here. I think on the product side, I mean, one, that's something we're always investing in. So it's very fluid for us. Our R&D team is a very core part of this company, and they're constantly working on the platform. So I don't think you'll see us stop there.
Edward Woo: Great, well thank you and good luck.
Operator: At this time, this concludes our question-and-answer session. I would like to turn the call back over to Mr. MacLean for closing remarks.
Robert MacLean: Great. We'd like to thank everyone for listening in on today's call and look forward to speaking with you all when we report our third quarter results. Thanks again for joining us. Good day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.